Operator: Good day, and thank you for standing by. Welcome to Intapp's Fiscal First Quarter 2023 Webcast. At this time all participants are in a listen-only. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advise that today's conference is being recorded. I would now like to hand the conference over to your speaker today, David Trone, Senior Vice President, Investor Relations. Please go ahead.
David Trone: Thank you. Welcome to Intapp's fiscal first quarter 2023 financial results. On the call with me today are John Hall, Chairman and CEO of Intapp; and Steve Robertson, Chief Financial Officer. During the course of this conference call, we may make forward-looking statements regarding trends, strategies and the anticipated performance of our business, including guidance provided for our fiscal second quarter and full-year 2023. These forward-looking statements are based on management's current views and expectations, entail certain assumptions made as of today's date and are subject to various risks and uncertainties, including those described in our SEC filings and other publicly available documents that are difficult to predict and could cause actual results to differ materially from those expressed or implied by such forward-looking statements. Intapp disclaims any obligation to update or revise any forward-looking statements, except as required by law. Further, on today's call, we will also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release, which is available on our website and as an exhibit to the Form 8-K furnished with the SEC prior to this call. With that, I'll hand the conversation over to John.
John Hall: Thanks David. Good afternoon everyone. Thank you for joining us. I'm pleased to share that we ended our fiscal first quarter with strong results, as our target market showed continuing strong demand for digital transformation. And we saw ongoing growth in the adoption of our cloud platform. For those who aren't familiar with our story, Intapp provides professional and financial services firms with a purpose built industry cloud platform that is highly differentiated from traditional CRM and ERP systems. Our solutions are designed specifically for the unique business models of this largely underserved market. With our established and trusted brand, specialized product strategy, and deep understanding of these firms needs, Intapp is well-positioned to lead cloud transformation for the global dealmaking and advisory industry, which represents a global TAM of $24 billion. Our Q1 results continue to validate our strategy. In our first quarter, our cloud ARR grew 41% to $176 million. Cloud now represents 62% of our total ARR of $284 million, which is up 24% year-over-year. We are in SaaS and support revenue of $56.8 million, up 31% year-over-year, and total revenue of $79.5 million, up 28% year-over-year. And we ended the quarter serving more than 2150 premier firms across our target verticals. Okay. Turning to innovation in our products. Our results are reflective of the continuous enhancement and expansion of our industry cloud capabilities to meet the specific needs of our target firms. In previous quarters, you have heard us emphasize our applied AI. This quarter we have expanded its use to solve additional compliance challenges specific to the industries we serve. Our new vendor terms feature available for a broad set of risk and compliance clients eliminates the burden of manually entering and tracking vendor agreements via spreadsheet, a process that is prone to errors. As you will recall, we use an automated approach, leveraging applied AI to scan, support and categorize documents for clients and now vendor terms. It's a great example of applied AI not only eliminating manual tasks, in this case, reducing the time to import and ingest data by more than half, but also adding value in the form of proactive risk mitigation and enhanced client experience. In fact, we recently had one of the largest law firms in the world share with us that by using our risk solution to support their client intake process, they cut the time spent clearing conflicts by 70%, allowing them to onboard new clients faster, and deliver a better overall client service. We also continue to expand our capabilities aligned with our Microsoft strategic partnership. As an example, this quarter we released Intapp client collaboration, which enables firms to securely share documents with their clients via Microsoft Teams, while supporting the unique compliance needs and workflows of our target verticals. With each new purpose built enhancement of our collaboration solution, we build on both the value we provide our clients who are industry cloud, and the value they derive from the Microsoft tools their professionals rely on every day. Our approach is paying off. This quarter, one of the top law firms in Ireland made the choice to migrate from its legacy on premises document management system to the Intapp industry cloud. Their new approach uses Intapp with Microsoft Teams and SharePoint as their document repository and collaboration system enhanced by our collaboration and content offering, which tailors the Microsoft solutions to meet the unique needs of the law firm. By implementing our solution, the firm accomplished several objectives of their larger digital transformation strategy, ensuring secure collaboration in the cloud, integrating key functions and data and maximizing the value of their existing Microsoft investment. Okay. Let's turn to talk about a few notable client wins. In the past quarter, we added new logos, expanded via cross-sell and upsell of existing accounts, gains traction with the new markets and grew our global footprint. One new logo we welcome to Intapp last quarter is the asset management arm of one of the largest investment banks in the world. They replaced a horizontal CRM with our DealCloud platform, for CRM and deal and pipeline management capabilities that align with their specific business needs. We are excited to work closely with this client to improve the experience of their professionals and aid in growing the firm's returns. As we deliver more value, we expect to upsell and grow our subscription with this large institution, making it an excellent example of our ability to win important large deals today, while laying the foundation for future cross-sell and upsell opportunities. As we shared during our IPO, one of the pillars of our growth strategy is to expand more deeply in the consulting industry, which has been often overlooked by traditional software providers. I'm proud to share that another new logo this quarter is one of the top strategy consulting firms. They chose our platform to streamline the complex clearing process in their M&A practice, an essential part of new business acceptance. They chose Intapp for our offerings ease of configurability and integration with our proven industry expertise and consultative approach This win gives us great confidence that our solutions meet complex compliance needs of this specialized industry. We also continue to expand through cross-sell and upsell of existing accounts, which is another key driver of our strong net revenue retention. One upsell example, is a large global financial advisory and asset management firm, which initially implemented DealCloud across several advisory teams in 2021, as a replacement for a large leading CRM, which lacks the required deal pipeline management functionality. The initial deployment proved so valuable in helping to manage relationships and execute deals that this quarter the firm expanded DealCloud licenses across their entire financial advisory group, which numbers in the 1000s of users. Turning to a cross sell example in the legal industry. Global commercial law firm and longtime Intapp client better price expanded their use of our solutions in Q1. Earlier this year, the firm embarked on an initiative to modernize their growth strategies, and in doing so, exposed a critical gap in the capabilities of the legacy CRM. They chose our purpose-built cloud offerings to enhance one-to-one client relationship management to support strategic growth by uncovering whitespace and cross-selling opportunities and to foster better collaboration across the firm. Finally, our international client base continues to grow, notably in Asia Pacific, where we continue to invest in building our business. Last quarter, we expanded our relationship with one of the largest dedicated Pan-Asian private equity funds. They join the growing number of firms in the region who have selected our DealCloud solution, and their managing director shared with us that they've been impressed by DealCloud's flexibility and ability to be custom tailored for their processes and workflows. As they put it, we see the technology is helping to drive our investment strategy. Turning to partnerships, we continue to expand the partner ecosystem connected to our industry cloud by adding several new third party data sources last quarter. In the professional and financial services industry, access to embedded market data, coupled with a client's own experiential data is key to generating the best possible information that is used to fuel decision making and growth. We signed a new partnership with Equilar, which enhances our relationship intelligence capabilities across industries by letting our clients access Equilar's database of more than 1.5 million executives and board members directly within Intapp solutions. We are now providing even more automatically updated corporate leadership data, expanding the reach of our clients executive networks, and helping our professional users to discover new business, giving them a competitive advantage in a dynamic business environment. Embedding the Equilar data using applied AI ensures it stays up to-date across our platform, and is driving real value for our clients. Over the past few quarters we've also been talking to you about our focus on serving the unique needs of real estate investors. As we continue to advance this initiative, this quarter, we partnered with cherry to bring its real estate property level data and market intelligence such as asset ownership, building information, and zoning tax and mortgage data directly into DealCloud. Providing contextual real estate information alongside deal management capabilities creates a holistic view of current and prospective investments and vastly improves the identification of target assets for real estate investors, leading to better decision making for the acquisition and disposition of properties. In conclusion, we're proud of our strong start to fiscal 2023, which builds on the momentum and excellent performance of our prior fiscal year. Our revenue model is highly predictable, and we serve a remarkably durable end market with a broad TAM. We see continued opportunity both to add new clients, and to serve the large demand to expand our purpose-built industry cloud platform within our existing client base. As a result, we have significant growth opportunity. We are leading the way in cloud adoption and modernization across all the industries we serve. Finally, I'd like to thank our clients, partners, investors, board and our employees whose teamwork and dedication have kicked off such a strong start to the fiscal year. Thank you all very much. Okay, Steve, over to you.
Steve Robertson: Thanks, John. And thanks, everyone for joining us today. As John noted, we had a strong quarter with our cloud ARR up 41% year-over-year, and our total ARR up 24% year-over-year. Before I go through our financials, I'd like to quickly review a few fundamentals of revenue recognition in our financial model just as a reminder. Cloud ARR is recognized as SaaS revenue ratably following a new sale or renewal. On-premises ARR is recognized in two parts. 50% as subscription license revenue, recognized upfront at the time of the sale or renewal, and 50% as support revenue, recognized ratably and included in our SaaS and support revenue line. Because it is recognized ratably, SaaS and support revenue is more predictable quarter-to-quarter, while subscription license revenue can vary based on the timing of revenue recognition. Okay, moving into our numbers. Q1 was another strong quarter for Intapp as follows. SaaS and support revenue was $56.8 million, up 31% year-over-year, reflecting both new sales, new clients, and upsells and cross-sells to existing clients of Intapp's purpose-built cloud solutions. Total revenue was $79.5 million, up 28% year-over-year, driven primarily by continued strong sales in our cloud solutions, as well as by solid growth in professional services revenue. Subscription license revenue was $12.2 million, compared to a $10.6 million in the prior year period, primarily reflecting several clients resumption of annual renewals after a period of multi year contract terms. Professional services revenue was $10.5 million as compared to $8.1 million in the prior year period, reflecting software implementations consistent with growth in our new sales. Overall, we continue to execute our land and expand model ending the quarter with more than 2,150 clients, 522 of which had ARR of more than $100,000, up from 446 in the prior year period. In addition, we upsold and cross sold our existing clients such that our trailing 12 month net revenue retention rate was above our expected range of 110% to 114% for the fifth quarter in a row. Before discussing gross margins, expenses and profitability, please note that I will be discussing non GAAP results going forward. As a reminder, our GAAP financial results along with the reconciliation between GAAP and non-GAAP results can be found in our earnings press release and its supplemental financial tables. First quarter results were as follows. Total non-GAAP gross margin was 71.3% as compared to 68.4% in the prior year period, primarily reflecting the increase in our services gross margin and an organizational realignment of a portion of our client success team from cost of sales to sales and marketing. Non-GAAP operating expenses were $54.9 million, and $11.5 million increase year-over-year as we continue to invest in sales, marketing and product development to support our growth. Non GAAP sales and marketing expense was $24.1 million, a $6.2 million increase year-over-year as a function of increased headcount and related sales commissions to capture new business in our growing markets, along with the previously mentioned organizational realignment. Non-GAAP R&D expense was $17.5 million, a $4.9 million increase year-over-year as we increase headcount and made investments in our product roadmap. Non-GAAP G&A expense was $13.3 million, a $0.4 million increase year-over-year, reflecting year-over-year comparisons, which are now both on a public company basis. Non-GAAP operating profit was $1.8 million as compared to our first quarter fiscal 2022 non-GAAP operating loss of $0.9 million, reflecting some initial profitability as we begin to get leverage from the business. Non-GAAP net income per share was $0.01 in the first quarter of fiscal 2023 as compared to a loss of $0.04 in the first quarter of fiscal 2022 primarily reflected our operating profitability for the quarter. Turning to the balance sheet, we ended the first quarter with $40.3 million in cash and cash equivalents, a decrease of $10.5 million as compared to the end of the first quarter of fiscal 2022, primarily reflecting the last Repstor contingent consideration payments. Now turning to guidance. For the second quarter of fiscal 2023, we expect SaaS and support revenue of between $59 million and $60 million and total revenue in the range of $80 million to $81 million. We expect a non GAAP operating loss in the range of $0.5 million to $1.5 million, and the non-GAAP net loss per share in the range of $0.02 to $0.04 using a basic share count weighted for the quarter of approximately 63 million common shares outstanding. For the full year fiscal 2023, we expect SaaS and support revenue between $241.5 million and $245.5 million and total revenue in the range of $332 million to $336 million. We also expect our non-GAAP FY 2023 operating results to be in the range of a $1 million loss to a $3 million profit. And a non-GAAP net loss per share in the range of $0.03 to $0.07 using a basic share count weighted for fiscal year 2023 of approximately 64 million common shares outstanding. With that John and I look forward to taking your questions.
Operator: [Operator Instructions] Our first question comes from a line of Koji Ikeda from Bank of America. Your line is now open.
Koji Ikeda: Yes. Hey, guys, thanks for taking the questions. Very, very nice quarter. I wanted to guys ask you kind of a question here on the guidance. I mean, you guys are guiding to the full year you raise the revenue, raise the SaaS, raise the operating income. I mean, what's giving you the confidence out there in the end markets that's giving you the ability to raise your forecast?
Steve Robertson: Well, Koji look, business is good continues to be good. And as we've said, I think previously we feel like we're something watching the recession telltale signs, but we're not seeing them in our business. And we just think this is where we are in this business. So we're pretty comfortable with it.
Koji Ikeda: Got it. Thanks, Steve. And then, just looking at the operating income guidance. And you guys are guiding to a negative $1 million to $3 million positive here in fiscal 2023. So it feels like we're on the cusp of an inflection point positive here. And you just trying to think that through once it does, presumably become positive, is it sustainable from there? Or any anything that call out that could cause an ebb and flows between positive and negative operating income kind of for the foreseeable future?
John Hall: Yes. Now, I think we're starting to see some initial leverage from the business as we grow. And we're certainly operating sort of better and better as we get our feet under as a public company, the back half of the year will be stronger than the front half. And I think we go from there. So we're feeling reasonably good about that, Koji.
Koji Ikeda: Got it. Thanks, guys. Thanks for taking my questions.
Operator: Our next question comes from a line of Kevin McVeigh with Credit Suisse. Your line is now open.
Kevin McVeigh: Great, thanks so much. And let me add my congratulations as well. Hey, listen, you beat the net revenue retention for five consecutive quarters now. At what point do you think it is possible to maybe bump that range up? Or is it just kind of leaving yourself some room for puts and takes just because obviously, really, really tremendous outcome there?
Steve Robertson: Yes. That's a fair question, Kevin. We, we did talk about that. And we've decided to stick with our range. But yes, we just wanted to see the trend lines for a while to make sure this is how it's going. But clearly, our upsell and cross-sell motions are strong and continues to be so. So duly noted, I think perhaps going forward, we can do something a little different there. But that part of the business remains pretty solid for us.
Kevin McVeigh: It's just a great outcome. And then, as you read through more and more of these partnerships, are they driving just kind of -- because obviously that, if you look at the percentage of your clients that are larger, it's like 25% versus 24% historically. Is that what's helped drive in some of the larger clients? Or is that still in the initial phases and we'll see more of that in 2023, 2024 again, kind of that just the spoiling effect of these partnerships that you've been entering, I guess, is the question?
John Hall: Yes. Thanks, Kevin. So, on the one hand, the partnerships with Microsoft and KPMG are still early. We just announced some quarter two ago. So we think there's a lot of opportunity for those to develop. But we've been very pleased by some early results, where they have had an impact on our ability to win deals when larger deals have a larger services engagement to help people take full advantage of the platform at some of the larger institutions. So, we're quite optimistic about how this is going to go.
Kevin McVeigh: Great. Congrats again.
Operator: Our next question comes from a line of Parker Lane with Stifel. Your line is now open.
Matthew Kikkert: Hi. This is Matthew Kikkert for Parker. Congratulations on the quarter, and thanks for taking my questions. First, with the role of DealCloud, and now the recent new partnership with Cherre, the real estate vertical. How has traction progressed in that vertical over the past quarter? And how long might it take to gain a similar market position in real estate as you have in other verticals?
John Hall: Thanks, Matthew. So DealCloud is doing well. And the real estate vertical is an important one for us. As we mentioned on a previous call, we were led into that market by our clients, our multi strategy investing clients who had originally used us for the private equity group inside their organization and asked us if we could also support their real estate group. So, we built out a whole set of capabilities to extend DealCloud to be able to support them in the real estate investment area, and the Cherre partnership, we're very excited about. Because it's another example of bringing purpose-specific third party data into the platform that will help the investors initially in the multiple strategy firms to make better and better investment decisions on the real estate opportunities that they're looking at. But as we've done, that, we're able to expand our TAM and our SAM to serve the specific real estate investing firms and all the folks who work in the advisory businesses that surround the real estate asset class. We've had some very good wins to your question this quarter. We're excited about how it's going both in the multi strategy firms and in real estate specific investors and advisors. So, we've been in some of the other markets for several years now. We're just getting started in real estate. But we're quite excited about the pace that we're picking up there. So we're going to continue to work on it. I think it's going to be a continuous part of our story.
Matthew Kikkert: Okay. That's good to hear. And then secondly, when you're talking to on-premise customers over the past quarter, have you heard them saying anything at all about the macro economic landscape that may change them to cause the timing of their past in migration or we not really been hearing that at all?
John Hall: We do talk to all of our clients. Obviously, we have not seen an effect from the discussed potential recession on our business generally. We have not seen in effect on the on-premises clients who are looking to move to the cloud, the orientation of our market generally has become very much the cloud first. And we're excited about the fact that a larger and larger number of our on-premises clients are both taking on our cloud platform and working with us on their migration plan.
Matthew Kikkert: Got it. Thank you very much.
Operator: Our next question comes from a line of Alex Sklar with Raymond James. Your line is now open.
Alex Sklar: Great. Thanks Steve, I want to ask you on sales capacity, how do you think about that at the start of the year in order to kind of maintain this level of growth? I know you've done a lot of ramping last year. Obviously, the macro is kind of a wild card, but curious how you're thinking about sales and marketing investments broadly?
Steve Robertson: Well, we're still investing forward in sales and marketing. At the same time that we are getting some leverage from the investments we've been making -- new sales quota, folks get some seasoning and some time and they can be more productive, but we're seeing a pretty good opportunity. So, we're not -- we're continuing to stay ahead of the curve, if you will, on putting people in the field, and the related support and marketing efforts to capture the market as we see it evolving in front of us here. So that's what we're doing at the moment.
Alex Sklar: Okay, great. And then John, you've had really consistent logo growth since kind of the IPO timing. The NRR tracking above your range. Is that at all focus of you kind of pivoting back into the installed base, given the macro or just the pipeline in terms of new logo opportunities just been there? Thanks.
John Hall: Thanks, Alex. The general trend is that we're winning a solid number of new logos each quarter. And then those become a larger part of a larger installed base that we console back into. We don't tend to land with a full deployment, we tend to have a land and expand strategy with these firms. And as we mentioned in the IPO, just with our top 100 clients, if they bought everything that we make, there's a $1 billion ARR opportunity there. So it's quite a vast space for us to sell into. We're excited about the growth of our existing clients, and we can grow the company that way. But we also have a great opportunity in winning new logos, because it's a big market for us to sell into that's generally been underserved by the alternatives out there over the years. So, it's a mix of both.
Alex Sklar: Okay, great. Thank you.
Operator: Our next question comes from a line up Terry Tillman with Truist. Your line is now open.
Connor Passarella: Great. Thank you. Hello everyone. This is Connor Passarella on for Terry. Thanks for taking my questions. I just want to start quickly. You talked about the importance of AI functionalities. Just curious how the tracks has been since the launch of the relationship intelligence capability, and how that's been resonating amongst the different clients that you serve? And then I had a follow up.
John Hall: Thanks, Connor. We didn't mention relationship intelligence specifically in prepared remarks. We've talked about it a few times over the past few quarters, it's doing very well. We're getting a lot of business on the basis of the applied AI, relationship intelligence capabilities. We're helping the investors and the advisors in the firms that we serve to understand the collective knowledge and relationships have all of their partners and all of the folks who work in the organization, so that when they're going out to try to win new business, land in new deal, it's not them as an individual, but really the whole firm that's helping go-to-market and make the best possible case for that. And the relationship intelligence system is all about helping arm, each individual in the firm with the full power of the organization's knowledge base, so that they can make the best possible case to win the deal or win the client. There's a lot of wins this quarter that have come from that capability. We think it's leading in the market, and a lot of positive feedback from the clients who are deploying it. It's still early days. We've just started talking about it the last few quarters. So, we think there's a lot of room to run. But it's an exciting component of our offering today.
Connor Passarella: Perfect. Thanks for the color. And then, maybe just one more. So last year, you made a few important acquisitions to boost the technology capability with Repstor, Billstream. I'm just curious, if you can give us maybe a sense on how those acquisitions have been performing. And maybe if there's anything we can tie to revenue as well, that would be really helpful? Appreciate it, guys. Thank you.
John Hall: Thank you. So we brought Repstor on about a year and a half ago, just before the IPO in May and June of 2021. So, we've been with that one longer. We've integrated the technology. We've integrated the team, who brought a lot of the clients that they had into the platform today. And we're still moving through that. There's a lot of success with new deployments and new sales based on those capabilities. I mentioned one of the names in the prepared remarks for the large firm in Ireland that has actually adopted our collaboration and content solution to help manage documents for the firm and between the firm and clients very successfully. It's a expansion as well as of our Microsoft partnership, because we have a close in addition to go to market relationship. We have a close technology relationship to really help firms make the most of their teams and Office 365 environment with our Intapp system. So we're quite enthusiastic about how that's going and what the opportunities are in front of us. On Billstream, it's earlier, we've had some good success with some new clients, as we've brought those folks on. We're going to continue to work on that and the integration of that program as we go through the rest of this fiscal year, but good signs and some good wins in that early days.
Connor Passarella: Great, thank you.
Operator: Our next question comes from the line of Brian Schwartz with Oppenheimer. Your line is now open.
Brian Schwartz: Yes, hi. Thanks for taking my questions this afternoon. John, just wanted to follow up on what you're saying in terms of deal cycles in lead generation on the new logo front. Clearly, you're doing an excellent job, increasing the monetization activity in the install base. But, can you share with us what you're saying maybe more of the top of the funnel and as leads are flowing through on the new logo front?
John Hall: Thanks, Brian. This is an interesting topic, you all have asked this question. As we've gone through this, we've been watching carefully, we are not seeing a lengthening of sales. We're also seeing improvement in funnel uptake. I think that the brand is really starting to travel through word of mouth is that great online response to a lot of the more recent online campaigns that we've been doing. We've been winning, not just in our traditional geographic markets, but in new markets, Asia Pacific is doing well, a lot of progress in Europe. A lot of it's our marketing program, a lot of it is just the word of mouth from successful clients, more and more successful clients breed [ph] some success there. And I think these firms are looking carefully at how they can use this time to become more competitive in the markets. And I think we're benefiting, because they're looking at our platform and our company as a good partner for them to become more competitive themselves. So we're going to continue to moderate carefully, obviously, but so far, it's going well.
Brian Schwartz: Thanks, John. And then the quick follow up I had for Steve is just trying to understand with the revenue guidance, and maybe some of the results. If there was any currency impact or headwinds to the new targets that you initiated today? Thanks.
Steve Robertson: Yes, there's a little bit and certainly we have 30% of our businesses International. Although, about 10% or a third of that kind of 30 is the dollar denominated. So it's really 20% we talk about foreign exchange. And of course, the impacts of that kind of roll through steadily as we sell and renews. So modest sort of impacts for Q1 and really modest for the year. And they're, they're baked in. We have done our own modeling and we forecasts work to consider swings there that seem possible or reasonable. And so, we're guiding, having factored that in.
Brian Schwartz: Thank you.
Operator: That concludes today's question and answer session. I'd like to turn the call back to John Hall for closing remarks.
John Hall: Okay. Thank you all for spending some time with us. We appreciate your working with the company and we'll look forward to our next call. Thanks for all your time and looking at us. We'll talk to you soon.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.